Kenny Green: Ladies and gentlemen, thank you for standing by. I’d like to welcome all of you to Camtek's Results Zoom Webinar. My name is Kenny Green and I am part of the Investor Relations team at Camtek. [Operator Instructions] I would like to remind everyone that this conference call is being recorded and the recording will be available on Camtek’s website from tomorrow. You should've all received by now the company's press release. If you have not, please view it on the company’s website. With me today on the call, we have Mr. Rafi Amit, Camtek's CEO; Mr. Moshe Eisenberg, Camtek's CFO; and Mr. Ramy Langer, Camtek's COO. Rafi will begin by providing an overview of Camtek's results and discuss recent market trends. Moshe will then summarize the financial results of the quarter. Following that, Rafi, Moshe, and Ramy will be available to take your questions. Before we begin, I would like to remind everyone that certain information provided on this call are internal company estimates, unless otherwise specified. This call may also contain forward-looking statements. These statements are only prediction and may change as time passes. Statements on this call are made as of today and the company undertakes no obligation to update any of those forward-looking statements contains whether as a result of new information, future events changes and expectations or otherwise. Investors are reminded that these forward-looking statements are subject that these forward-looking statements are subject to risks and uncertainties that may cause actual events or results to differ materially from those projected, including as a result of the effects of general economic conditions. Risks related to the concentration of a significant portion of Camtek’s expected business in certain countries, particularly China from which Camtek expects to generate a significant portion of its revenues for the foreseeable future. But also Taiwan and Korea, including the risks of deviations from our expectations regarding timing and size of orders from customers in these countries. Changing industry and market trends, reduced demand for services and products, the timely developments of new services and products, and their adoption by the market, increased competition in the industry and price reductions, as well as due to other risks and uncertainties identified in the company's filings with the SEC. Please note that the Safe Harbor statements in today's press release also covers the contents of this conference call. In addition, during this call, certain non-GAAP financial measures will be discussed. These are used by management to make strategic decisions, forecast future events and results, and evaluate the company's current performance. Management believes that the presentation of non-GAAP financial measures is useful to investors understanding and assessment of the company's ongoing corporations and prospects for the future. A full reconciliation of non-GAAP to GAAP financial measures are included in today's earnings release. And with that, I'd now like to hand the call over to Rafi Amit, Camtek CEO. Rafi, please go ahead.
Rafi Amit: Thanks Kenny. Good morning or good afternoon, everyone. Camtek ended another quarter of continued revenue growth. Fourth quarter revenues were a record of $82 billion, a 11% increased year-over-year. Gross margin came in at 49% and operating margin at 27.8%. Over 60% of our revenues came from advanced interconnect packaging applications. Front-end and compound semi segments accounted for about 20% of our revenues. The total revenues for 2022 was a record of $321 million, 19% gross year-over-year. This is the fifth year in a row with record revenues. In the last two years, we more than doubled our revenues and tripled our operating profit. In 2022, we continued to expand our customer base. We now have over 250 active customers and we have added more than 50 new customers, so we expect them to contribute significantly to future revenues. The company's diversified exposure to multiple customer secular trends and territories contributed to our success. We have managed to increase our business in the Heterogenous Integration segment which serve the high performance computing and in addition, it has partly been qualified for the next generation DRAM products. We expect these two applications to continue to contribute significant revenues in 2023. Compound Semiconductor and specifically silicon carbide market continues to grow rapidly and we have been able to win several inspection steps at several different customers. Last win, as reported a few weeks ago, was a Tier 1 manufacturer for an order totaling of $18 million for multiple machines to be installed in 2023 and 2024. In 2022, we have developed several new products and technologies which we plan to introduce in 2023. We anticipate it will further increase our market position and expand our capabilities in entering new market segments. Looking at 2023, global economy growth is projected to slow down, thus affecting wafer fab equipment in general and specifically the memory segment. Also, regarding the new US restrictions on China semiconductor industry from a few months ago, we have yet to see how it influences the industry. After three years in which the entire production supply chain was disrupted, 2023 is expected to be a challenging year with customers being more cautious and hesitant in increasing production capacity before receiving orders from their end user. However, we are also receiving positive signal from several customers regarding expected improvement in the second half of 2023. We believe that our leading position in the specific segments, broad and diversified customer base and long-term strategic relationships with customers will enable us to again outperform the wafer fabrication equipment, which is predicted to decline by 20% to 30% in 2023. Regarding the first quarter, we estimate the sales to be approximately $71 million to $74 million, which represents a decline of 6% year-over-year and 12% sequentially at the midpoint. After doubling sales in the last two years, while focusing on supplying systems on time and providing a good response to customers, we now focus on a company's efficiency. Also, we are carefully monitoring certain balance sheet items such as inventory levels and account receivable. We are adjusting our expenses and headcount to the current demand. Moshe will address our plan in more details. I would like to conclude by stating that the semiconductor is a strategic industry and all leading countries are heavily invested in it. I would like to hand over to Moshe for more detailed discussion of the financial results. Moshe?
Moshe Eisenberg: Thank you, Rafi Amit. In my financial summary ahead, I will provide the results on a non-GAAP basis. The reconciliation between the GAAP results and the non-GAAP results appears in the tables at the end of the press release issued earlier today. Fourth quarter revenues came at a record $82.2 million, an increase of 11% compared with the fourth quarter of 2021 and slightly more than the previous quarter. Revenues for the whole year were a record of $321 million, 19% increase year-over-year. The geographic revenue split for the quarter was as follows. Asia 80% and USA and Europe accounted for 20%. Gross margin for the quarter was $40.2 million. The gross margin for the quarter was 49% versus 50.9% in the fourth quarter of last year and the same as in the previous quarter. In line with our previous guidance range, we continue to experience inflationary pressure on raw material and labor which I cannot fully pass on to customers. However, we are taking steps to mitigate this impact by improving our efficiencies and cost as a result, improve our gross margin over the mid to long term. Operating expenses in the quarter were $17.4 million. This is compared with $16.8 million in the fourth quarter of last year and $17 million reported in the previous quarter. Operating profit in the quarter was $22.8 million, compared to $23.2 million in Q3 and $20.9 million reported in the fourth quarter of last year. Operating margin was 28%, similar to the previous quarter and to the fourth quarter of last year. Financial income for the quarter was $3.8 million, compared with $2 million in Q3 and $200,000 last year. The majority of the increase relates to significantly higher interest rates on our deposits on an increased cash balance. We expect the financial income to continue to increase throughout 2023 as the interest rates remain high. Net income for the fourth quarter of 2022 was $24 million, or $0.50 per diluted share. This is compared to a net income of $19.7 million, or $0.40 per share, in the fourth quarter of last year. Total diluted number of shares as of the end of Q4 was 48.3 million. Turning to some high level balance sheet and cash flow metrics. So total cash, including cash equivalent, short and long term deposits as of December 31, 2022 was $479 million. During the fourth quarter, we had a strong positive cash flow and we generated $19.9 million in cash from operations. And altogether for the year we have generated $57 million. Accounts receivable increased to $80 million in the quarter, primarily due to the timing of revenue and collection within the quarter Days outstanding for Q4r were 90 days. Since the beginning of the year, we experienced strong collection and we expect the account receivable balance to come down by the end of Q1. Inventory level was $70.9 million and it went down by $3.9 million over the quarter. In the last few years, we increased the inventory in order to support the growth, especially in light of the supply chain issues. The reduction this quarter is in line with our target to optimize the inventory level given the new business environment. Moving to the guidance, in Q1, we expect revenue in the range of $71 million to $74 million. Our gross margin is affected by the business volume and the increase in the bill of material resulting from the supply chain issues, inflation and labor cost. We, therefore expect gross margin to be around 48% in Q1. Our focus in the last few years was on meeting the phenomenal growth. In order to improve the gross margin this year, we plan to focus on cost reduction through engineering and design optimizations and supply chain initiatives. These steps take time and we anticipate that they will assist us in gradually improving our margin over the coming quarters. We continue to invest in R&D to meet our customer roadmaps and be well positioned for growth. However, we are adjusting all other operating expenses to the current revenue level in order to move us closer to our target operating model when growth returns to our markets. The current strength of the US dollar versus the Israeli shekel is helping our current operating expenses level as well. I would like to highlight the contribution of our cash reserve on our results. We have close to $0.5 billion in cash that enjoys the increasing interest rates and puts us in an excellent position to grow inorganically and we are actively looking at opportunities. With that, Rafi, Ramy and myself will be happy to take your questions. Kenny?
Operator: [Operator Instructions]
Kenny Green : Thank you, Moshe. Our first question will be from Blayne Curtis from Barclays.
Tom O'Malley: Hey, this is Tom O'Malley, not sure what happened with the queue in there, but I just wanted to understand, in the December quarter, you normally give a breakout by end market from a percentage perspective of what contributed to the revenue. Could you just break it down between advanced packaging? I know you said greater than 60, but any more granular, it would be great. Compound semi, front-end, CMOS image sensing, and then other just any granularity there would be really helpful. Thank you. Just for the quarter.
Ramy Langer: Okay. Hi, Blayne. So this quarter, it’s Tom. Sorry. Hi. This Ramy. So if we look at the fourth quarter, our advanced packaging came to close to 67%. This is the mix of the overall if we look at the yearly basis, it's about 60%. Our compound and front-end business, they were together just above 20%. And then there were a few others. The CMOS Image Sensors this year is a little bit lower than other years. And this is for the reason of the sales of mobile phones. So it ended up about 6%. And then there were a few small items. Okay.
Tom O'Malley: Helpful. Yes. So 6% was for the full year, you're saying, or 6% for the December quarter?
Ramy Langer: December quarter. And overall, this year was around 6%. The CMOS Image Sensors, as we anticipated, was nowhere than usual. Our usual 10% for this segment.
Tom O'Malley: Okay. And then you guys are making some comments about the full year. You’re saying you think you'll do better than broad based WFE, but you're also saying, hey, the second half is going to be stronger than the first half. Could you just help identify which end markets are going to be weaker in the March and June quarter? And how should we think about what June should look like off of March given the fact that it sounds like June is the bottom for you guys and how extreme should that look? Thank you.
Ramy Langer: So first of all, we didn't say that June is going to be anything about June. I'll talk in a minute about what we are seeing beyond Q1. But let's talk about the segments. So the segments are going to be similar next year, I'm expecting and I look at our backlog and the pipeline. Advanced packaging is going to be very strong next year. Coming from the Heterogeneous Integration, a lot of the move from DRAM to high bandwidth memories. This is also going to contribute significant revenues. Silicon carbide is going to be strong and the overall other markets are going be okay. So from the segmentation point of view, we don't see anything different. Keep in mind that we have 250 customers that helps us a lot in balancing the business. And we've acquired 50 new customers this year that I'm expecting that some of them will buy additional equipment in 2023. So this will give us a balanced forecast. But looking at Q2 and beyond, the entire year of 2023, we have a solid backlog and a solid pipeline. Now, you have to remember that we are working in a very dynamic environment. Things are changing. We did not get any major cancellations. However, there is more hesitancy than before. So therefore, it is too early to give a forecast for Q2 or even talk about the rest of the year. But as we said in our prepared remarks, we expect to outperform our market segment.
Kenny Green : Our next question will be from Charles Shi from Needham.
Charles Shi: Hi. Can you hear me? Yes. Thank you very much. I want to ask a bit about the gross margin. It seems like you are facing some inflationary cost pressure and you're taking action to address those. And you actually got it down a first quarter gross margin by a smidge. My question is, I think historically it's not just the volume and also cost input that influences your margin. I think the product mix sometimes play a bigger role. I know you didn't really talk about product mix into ‘23, but is there a favorable or unfavorable mix that could be, I mean, positive or negative to a gross margin for the full year in ‘23? Because you have good backlog, I think you have some visibility into the mix. Thank you.
Moshe Eisenberg: Hi, Charles. So I would say yes, you are right, product mix has a lot to do with the gross margin as well. But we decided to focus this time on the cost structure because we see some pressure on gross margin from the cost elements. We see some increase in the bill of material both from components, labor cost and altogether we see some pressure. So yes, product mix may have a positive impact. I think that the 48% that we gave as a guidance should play as a bottom and we may see over the year some improvement coming also from the initiatives that we are already taking. And as I said, it may take time, but we expect to see some impact already in the second half of the year and also from the product mix that might be more favorable than we currently think.
Charles Shi: Thank you. Maybe the second question, I really want to go back to the question asked by Tom earlier on the full year. What you think about the segment mix is going to be, I think you said it's quite similar, but I also heard you say the best packaging, which includes memory DRAM, seems to be doing well this year. And should we kind of expect that advanced packaging as a percentage in your mix maybe is growing a bit this year with others. You said that they're okay, but I don't hear that they are going to be, I don’t hear like, the conviction from you that they're going to be as great as the advanced packaging segments for you.
Moshe Eisenberg: We waited, I talked about out the segmentation earlier, I didn't talk about the forecast. That was the second part where I said we're not in a position today to do any forecast be above, let's say, beyond the first quarter that we have already stated. Regarding the mix, whether the advanced packaging will be a little bit more than 60%, it's still too early to say. But it's definitely we see in the backlog and the pipeline that this is going to play a major part of our business, continue to be a major part of our business. And it will be, I would say, at least 60% whether it will be significantly more as the fourth quarter, I still don't know.
Charles Shi: Okay. Thank you. Maybe last one. I really want to ask you about the geographical mix. So what you're seeing today based on your order book, Asia Pacific versus US, Europe, do you see that mix kind of changing to ‘23? Maybe Asia Pacific may be growing a little bit faster in ‘23 relative to US and Europe? Or do you see the other way around? Thank you.
Moshe Eisenberg: No, I don't think there is going at this stage, at least, what we see on the current numbers and our plans. I think that the Asia 80% versus US and Europe 20%.I think at this stage we expect this to stay.
Kenny Green : Our next question will be from Gus Richard from Northland.
Gus Richard: Yes, thanks for taking the question. I was just wondering if you could talk about sort of where you're slotting tools at this point. How much has that lead time compressed? And just any general thoughts around?
Moshe Eisenberg: The main issue, and I think we spoke about it also in the last call. What we see today that customers are very hesitant in turning the pipeline into real POS or even scheduling the shipment time. And the reason for that, they are waiting to see that their end customers are giving their business. And as a result, we've seen our lead times go down from about, I would say four to six months, coming down to something like three to four months. And just I would give you these are the rough numbers. And so definitely and this is the reason that from our point of view, it's very hard today to forecast beyond the first quarter.
Gus Richard: Got it. And then you mentioned in your prepared comments about some new products and I was just wondering if you could give a little more color in terms of expansion of market opportunity or any color on the types of applications you're going to be addressing.
Moshe Eisenberg: In general, I will be very careful about it because some of this information is obviously very confidential. But I would say that there are two areas where we are developing products. First of all is to increase our TAM. We've been increasing it gradually and there are areas that we have identified that we have good opportunities and we have the technologies to enter. And these are areas that we develop products and will introduce it. In parallel, we are working with our customers on their roadmaps and this requires development on our side to meet those roadmaps. This is very important for us to maintain our market position, increase the business with our existing customers. So this would be the two types of developments that we will be introducing in ‘23.
Gus Richard: Okay, sort of any color on front-end advanced packaging? Is it just any sort of –
Moshe Eisenberg: So it will be in the advanced packaging, it will be in the front-end, it will be for silicon carbide and I would say even certain applications, even in the CMOS Image Sensors. So this is really across our entire portfolio and applications we will be showing improvements in new capabilities in our products.
Kenny Green : Our next question will be from Brian Chin of Stifel.
Brian Chin: All right. Sorry about with that. Is that better? Great. Yes. Good afternoon. Sorry about that. Thanks for letting us ask a few questions. I appreciate the color on the lead times, and but still if you place an order now, maybe you get a delivery May, June. So you maybe have a little bit of visibility and backlog going into 2Q. But do you think based on that first half revenue is generally stabilizing around first quarter levels? That’s my first question.
Moshe Eisenberg: Well, Brian, I talked about it before, it’s the current status even when we look at our backlog and pipeline that they are solid, still we are very hesitant in giving you more color on the second quarter because things are changing. But as I said before, we did not have any major consolations. So we feel we are positive about the business. But still, it's very hard at this stage to put a very clear number.
Brian Chin: Okay, yes, fair enough. Because if you just run Q1 revenues flat across the year, and you're obviously a little bit more optimistic about second half, but that would that would obviously get you maybe down 10 for the year or something a lot better than maybe what the kind of the benchmark might be in terms of industry spend this year. Maybe a couple of other questions. I know you with China, I know you don't aggregate China exposure as a whole, and so not asking you to do that, but can you provide some sense of how you think holistically your revenue in China could trend this year relative to last year. And also, generally, what makes you more optimistic. Maybe that the distribution of this revenue improves later in the year.
Moshe Eisenberg: So, first of all, we did not go and as you said, we don't give any segmentation in Asia. But all-in- all, China is coming out of the Coronavirus. It's going to open and we'll see how things work there in a couple of months. But when we look in China, we are, the business there is stable. The backlog is stable, the pipeline is stable. We don't see any major change. I think our customers there are continuing to order machines. The industry is growing there, the new customers there. So I don't see any change. However, there are some, I would say some things that we will need to wait and see how the whole thing in China is playing out. I think Rafi talked in here in his prepared remarks about how the US restrictions would work there. There are a lot of unknowns, but I think from our point of view, we do not see a major change there. And Rafi, maybe you want to comment further.
Rafi Amit: I say that if during the Q1, the proportion between China, Asia and other territory are about the same as last year. And we have to take into consideration that China was under a very tough time and very heavy slowdown. So as far as I know, the government now want to make a very quick recovery. So definitely it can make, this action could definitely improve the business in China. But as I said, it's too early to say. We have to wait maybe one or two months and then we can feel more comfortable what is going on.
Brian Chin: Okay, that's helpful. Maybe very last question. Silicon carbide has come up, you mentioned a few times on the call, within maybe that 20% of revenue, which Q4 and maybe similar to last year. But what's the significance exiting year of your silicon Carbide or its power device revenue and kind of with new products, existing products. Is that a business off its smaller size right now? It looks like it could even grow this year. And kind of geographically, where are you stronger and where are you targeting, if you think just not by customer, but Europe, US, Japan, maybe China. Any color there would be helpful.
Moshe Eisenberg: So, first of all, the silicon carbide, the compound semi in general, it's a global business, and it's in all territories. And obviously I'm hesitant. I don't want to disclose any names of customers, but we are serving, I would say, most of the major players in this area. I think we talked about the $18 million of order which we received a few weeks ago. And that's definitely from a number, it's a significant number. What I can talk about this is just one customer with specific steps. We are doing additional steps at this customer, this specific customer that there is even more potentially that specific opportunity. And like this customer, there are several other customers that can order machines. So silicon carbide is growing very. We have a good position in all, I would say, on most of the major Tier 1 customers that are out there. And definitely it's a business that I'm expecting to grow. We are going to grow both as the business grows, but we are also finding more and more steps within the process that we are going to address.
Rafi Amit: I would like to add silicon carbide actually is mainly for the electric car and everyone know what's going on. This is one of the segments that is the CAGR is over, I think 20%. So definitely this drive the silicon carbide very aggressively and this is why we feel very comfortable with it.
Kenny Green : Our next question will be from Craig Ellis from B. Riley.
Craig Ellis: Yes. Can you hear me, guys? Yes, wonderful. So congratulations on the fifth year of growth. Really a great track record. I wanted to follow up on the industry outperformance issue, and I totally understand that the nature of things makes it hard to really provide concrete color around the businesses dynamics beyond the current quarter. So I'll try it this way. If you look at the potential to outperform industry this year, can you give us some range of potential outperformance that you think is possible? And if you can't quantify that could you rank the factors that you think are most significant in leading to an outperformance margin?
Ramy Langer: Let me try. We talked about the segmentation. So I think that the advanced packaging segment will be, I would say, solid this year. So this is a segment that is 60% of our business in the fourth quarter was 67%. This is a segment that will maintain, I would say, a good performance. And when I talk about this segment, I'm including the DRAM to high bandwidth memory, potentially, there is the DDR5. So definitely 60% of our business, I think at least, I can say, in good shape. Then the rest, I think silicon carbide is an area that should also perform well. As Rafi said, this is going to electric cars, and this is a segment that is going to continue to grow because there is a transition from the electric cars. We see it everywhere, and there comes, I would say the rest. But I think where there is an uncertainty is in the capacity. And some of our customers that are very hesitant about expanding their capacity. And that's the area where it's very hard to give a number to quantify. So we feel comfortable about it will outperform the performance of the market. But to give you an exact number, it is difficult. Now, one thing that definitely I think is a plus is our exposure and strength in China. Definitely, as Rafi said, they are coming. There are some unknowns, but definitely this is an area that's going to continue and expand the industry. There is no choice. We see that the number of new customers application definitely I'm expecting that this will be a plus for us in ‘23. Rafi, you want to add something?
Rafi Amit: No, it's fine. That's correct -- the situation.
Craig Ellis: Ramy that was really helpful. Moshe, I'll flip one over to you. So it sounds like within operating expense there's some different dynamics going on the R&D line. The company is committed to all the things that are going to generate those new products that you've talked about. So it sounds like spending there is at least stable, but potentially up. But on other parts of operating expense you're looking for efficiency. So how does that net out in the first quarter and through the year? Does it net to fairly flat OpEx? Would they go down in absolute dollars through the year? Help us with the contour of that line.
Moshe Eisenberg: Yes, so yes, you're right. We will continue to invest in R&D. And as a matter of fact, we will see some increase in R&D over the year. So that means that other areas will have to compensate for that. And these are sales and marketing and G&A. And here we are going to tackle sales channels improvements. We are going to look into travel. Basically, we will be doing like any company that is looking to improve profitability. We will be much more cautious with respect to all kinds of expenses. We will monitor it more carefully. Not that we have not done it in the past, but obviously, when you are in a more challenging business situation, we will do it even more. So, net-net, we will see some reduction in operating expenses from the Q4 numbers. Not by much, but we will see some reduction. So if we ended Q4 with 17.4, we would see some reduction in Q1 in the level of operating expenses.
Craig Ellis: That's really helpful. And then, Rafi, I'll ask you a question. So the company has done a fantastic job growing its customer base. And the 250, 25% addition last year is pretty remarkable. As you look at 2023, how much further room is there to expand the customer base and how significant can that be relative to what was a really big year in 2022?
Rafi Amit: First of all, regarding customer base, even from time to time we are surprised discover new customer, many of them by the way, in China as a new customer that you don't know about them, nobody knows and all of a sudden you get more and more customers. So definitely China is one of the major territories that we can see new customers and when we talk about new customers, sometime it is the same customer but different segment in this specific customer. For example, if we penetrated to a Tier 1 customer to a specific application and then he found that we can give him better solution in other application in another department. So all of a sudden you have more than one customer. Like sub customers. So we see that there are enough room for us to develop our ability to many other segments and especially when we talk about OQC, front-end application, there are more and more play that from time to time we see that we have the tool, we have the ability in order to go there. And this is why we feel very comfortable that the 250 customers definitely are helping us and reducing our risk when there are some slow down effect. And we definitely continue doing all our efforts to continue expanding the customer, the installed base of customers.
Craig Ellis: So plenty of room for share and share of wallet expansion as you should look ahead. That's helpful. Thanks Rafi. Moshe, I'll flip it back to you as my final question. So, very significant increase in interest income in the quarter. Would you expect that kind of increase, again, in the first quarter? And how much duration should we expect with these increases in average interest rates across your different cash and investment instruments, as we look at ‘23.
Moshe Eisenberg: So, as you can, we all know, interest rates are pretty high these days, and we are trying to take full advantage of the high interest rates. We have reported $3.8 million of financial income in the fourth quarter. And, yes, we expect this number to continue to grow to five-ish million dollars on a quarterly basis in 2023. And again, this is all assuming that the interest rates remain at the current level.
Kenny Green : Our next question will be from Allen from Leader.
Unidentified Analyst : Yes, hi, can you hear me? Yes, hi, I'm from Atab not from leader, by the way. Yes, my question is about the memory. It was a bit slow-ish in the last couple of years and you speak about it as a potential for 2023. Could you elaborate a bit about what's the prospect there?
Ramy Langer: Yes, this is an example where the technology of the DRAM is changing. So today there are more and more applications, and this is tied up to the high performance computing and the heterogeneous integration. You see the high bandwidth memory; these are memories that are in stacks. They are very fast. They're very efficient from the power consumption, from bandwidth, from every aspect. So all of the manufacturers are starting to produce them. They have been producing them, but they are ramping up the quantities. The capacity is growing. And obviously, our machines are here used to inspect the bumps on the wafers. And that's an application that we are very dominant throughout all the major players in this segment. And that's an area, it's not huge, but it is big enough to mention it. I'm expecting ‘23 and also ‘24 we expect to enjoy from this application.
Kenny Green : Our next question will be from Shahar Cohen.
Unidentified Analyst : Hi guys. What about silicon carbide? What's your market share over there? Are you like the dominant player in the silicon carbide inspection? And do you have also play on gallium nitride on top of silicon carbide? And what we see, we see major expansion from across all customers from on to wharf to Infineon. Why you are saying the customers are reluctant to add capacity? What we see is a multiple growth of capacity in that area. So if you can speak more about that, that would be helpful.
Ramy Langer: So, Shahar, I cannot speak about customers names, but I think as we said before, this is definitely a market. The end market is growing and the use of silicon carbide is also growing and more and more people are adapting silicon carbide in their electric cars. So definitely that's an area that we will see growth over the next few years. And I think Rafi mentioned the CAGR is about 20% plus. So yes, we are a dominant player in certain applications, not in all of the application, but it's an area that we are gradually developing capability and expanding our presence to other applications, other steps, process steps within the silicon carbide. So that's definitely a very promising market for us. It has been growing over the last few years, and I think from a single digit number to double digit numbers this year. And we definitely expect to see more growth in this segment over the next few years.
Unidentified Analyst : Okay. Gallium nitrate. Is there a gallium nitrate –
Ramy Langer: Yes, gallium nitrate is also has some advantages in other applications. I think the market there still at this stage is smaller, but definitely it's a market that we play in, in gallium nitride, gallium arsenide. There are many flavors here, and each of the flavor has different aspects and means and capacity. I think it's a little bit more complex to try answer all of this in a few minutes, but you can give me a call and we can speak about it more.
Kenny Green: I believe that is the end of the question and answer session. Before I hand over back to Rafi, I'd like to let you all know, in the coming hours, we will upload the recording of this conference call to the investor relations section of Camtek’website@camtek.com. I'd like to thank everybody for joining this call and like to hand back to Rafi for a closing statement. Rafi, please go ahead.
Rafi Amit: Okay. I would like to thank you all for your continued interest in our business. I want to especially thank the employees and my management team for their tremendous performance. To our investor, I thank your long-term support. I look forward to talking with you again next quarter. Thank you and goodbye.